Operator: Ladies and gentlemen, thank you for holding, and welcome to the Adyen Second Half 2019 Results Conference Call. [Operator Instructions] I would now like to hand the conference over to Mr. Pieter van der Does, the CEO of Adyen. Go ahead, please.
Pieter van der Does: Thank you, and good afternoon, everyone. Thank you for joining us on the earnings call for the second half of 2019. As always, I'll talk you through the high-level results and what we're seeing in the industry and then Ingo will take a deeper dive into the numbers. After this update, we'll be happy to answer any questions. We continue to see strong profitable growth in the second half. Process volume for the full year was EUR 240 billion, as we continue to grow at scale. Full year net revenue was EUR 479 million, growing 42% year-on-year. We saw a continuation of several positive trends in the second half of 2019. Our merchant portfolio is more diversified, over 80% of growth came from existing merchants, and our volume churn is still below 1%. These facts leave us confident that we are delivering a best-in-class solution to our merchants, helping them to future-proof their approach to payments. Full stack volume continues to take up an increasingly large share of our total volume, and this trend continued in the second half of last year. We are now at 73%. Point-of-sale volume also keeps going at an impressive rate. It's comprised of 12% of total volume for 2019. There's a lot to be excited about in the business on this front, too, as we now can report tangible success in the QSR space, following McDonald's and Subway wins. Just like in the retail sector, shopper behavior in QSR is changing, and we are right there at the forefront, helping our merchants to adopt to this new reality. Platforms too are interesting, providing the long tail of the market with access to the full strength of Adyen. Usually, these are marketplaces or business toolkit providers for small businesses. Examples include Wix and Zanotti. The reach of these businesses is very impressive, and it's a great space for us. We are not sitting still either. We seized an opportunity to grow the team more aggressively in the second half, adding 195 FTE. We made some great improvements in our on boarding process, allowing us to get more people on board to help our merchants grow. At the end of the year, we employed 1,182 people. Our merchant growth takes us all over the world, and we recently opened new offices in Mumbai and Tokyo. It brings me great joy to see the Adyen offices popping up all over the globe. And APAC is specifically a very exciting region. On the product front, we are constantly building new stuff. A few products worth highlighting for the second half are PayByLink and issuing. The PayByLink pitch is twofold. It allows smaller mergers to go live quickly with us without needing to commit significant development resources to the integration and it allows mergers of any size to power contextual commerce whether it's chatbots or VIP shopping service. Issuing is really exciting too. This product has several user cases -- uses -- has several use cases in travel, food, delivery and hospitality verticals, allowing for quicker payouts, faster disbursements and for marketplaces, quicker onboarding. For more detail on what we are seeing in the business, please share shareholders letter. For now, Ingo is here with more details on the numbers.
Ingo Uytdehaage: Thank you, Pieter. Good afternoon, everyone. Thanks for joining. Second half process volume was EUR 135 billion, growing 52%. The full year number was EUR 240 billion. Of this EUR 135 billion, point-of-sale volume comprised 13%, totaling EUR 18 billion. This number has kept increasing over the past half yearly periods, and we didn't see a slowdown in the second half of last year, which has a lot about merchants need to adapt to a new shopping environment, requiring a unified commerce approach. There is also what we're seeing on the platform with hundreds of merchants adding an additional channel. Net revenue was EUR 276 million in the second half, up 43% year-on-year. Full year net revenue was EUR 497 million. The net revenue growth was, again, well diversified across the merchant base and geographically. Take rate is down slightly, mostly due to new volume tiers kicking in for enterprise merchants. OpEx were EUR 134 million in the second half, up 57% year-on-year, as we invested more deliberately in increased hiring. Full year OpEx came in at EUR 240 million. We will continue to invest in growing the team and in marketing to support our sales efforts. EBITDA was EUR 154 million for the second half, up 37% year-on-year. Full year EBITDA was EUR 279 million. EBITDA margin was 56% for both second half and the full year and with a positive impact of about 2% from IFRS 16. Net income was EUR 112 million for the half year and EUR 204 million for the full year. Lastly, CapEx was up, as we invested significantly in the scalability of our data centers. Even with these investments, CapEx still came in at just 4% of net revenue. This applies to both the second half and full year numbers. We're happy to see the business continue to grow at scale, while profitable and giving us room to invest in its continued success. Now on to our guidance. As we stated at the IPO and several times since, we will not change guidance as a few of the business changes substantially. And at this stage, it has not. We maintain the same long-term outlook. In light of this, I would like to reiterate our outlook. On net revenue growth, mid-20s to low 30s in the medium term. On EBITDA margin, we expect EBITDA margin to increase to levels above 55% in the long term. Please keep in mind that this objective was set prior to the IFRS 16 accounting change. On CapEx, we aim to maintain a CapEx level of up to 5% of our net revenue. As Pieter said, you can find these results in the shareholder letter on our website. Before we head into the Q&A session, and unrelated to these earnings, we want to provide a brief comment on the impact of COVID-19, due to the level of interest in the market currently. We have looked into the traffic on our platform over the recent weeks and have not seen a material impact to date. Of course, there are some groups of merchants that are potentially exposed, like airlines and OTAs, but on an aggregated level, there's not been a significant impact. We have taken the necessary precautions to ensure that our service levels won't be impacted, and we will monitor the situation on a continuous basis. Naturally, we hope that the situation will be under control swiftly as the impact on society reaches further and just the impact on business. With that said, we're both happy to take any questions now.
Operator: [Operator Instructions] Our first question is from Sandeep Deshpande of JPMorgan.
Sandeep Deshpande: Couple of questions, 3 questions, more short questions from me. Firstly, regarding the growth that you are seeing, you've seen significant growth in these fast service restaurants, and you've announced 2 major contracts, and this was something you talked about at your Analyst Day last year. Has this played out now in terms of the customers you are targeting? Or is this a vertical that continues to be a potential driver of new customers, clients for you? And are there other verticals that you're targeting, just as you've targeted fast service restaurants? Secondly, my question is more regarding 2020, I mean, we've seen there has been some economic impact associated with the ongoing situation globally. Has Adyen seen any impact from that situation? And then finally, regarding the customer base, we've seen that your growth, particularly in North America, has been very strong and you are clearly targeting that market. How should we be looking at Adyen customer base going forward from here, given that majority of your revenue is still European? But I don't know exactly whether they are European from European customers, maybe a lot of that is from U.S. customers. And is there a potential that now you could grow with those same U.S. customers that you have in Europe in the United States?
Pieter van der Does: All right. Thank you. They are all great questions. First, about QSR space. It's a space where we saw that the needs fit very well to how Adyen can help these restaurants. So that's why we were focusing on it. And what you always see is if we target a certain industry, and we are successful there in onboarding merchants that others are looking at that as well. So what I particularly really like about is that when we said, we are interested in that space, they could then also see that there are merchants like McDonald's and Subway shining up with us. Also, if you look at Subway, that is U.S. and Canada. So for McDonald's, it's a global contract. So that's not the European -- isn't just European volumes that you're asking later in your questions. So -- and the answer is of course, we are interested in seeing more merchants in that space. This is now too early to say to specific all the verticals that that's where you will see the next merchants being on board. But of course, we are interested in all the verticals where complexity, multichannel and international play large roles. On the COVID-19, if you look at the impact for us, if we look at aggregate numbers. So over the full customer base, we cannot see significant impact. You would have to dive into specific merchants, specific regions to see it. But on Adyen as a whole, we don't see an effect at this moment. And then your third question on the growth per regions. Yes, it's true what you're saying, the -- we are register -- we are looking at the volumes based on where the entity has its legal -- on -- based on legal entity, so on billing address for us, and not on where the merchant, which office did win the merger. So some of the U.S. volumes or the APAC volumes could very well fall in another region. But on the other hand, we also see a lot of local success. So -- and that -- the example, which I mentioned is Subway, that's a U.S. contract. So it's also a matter of timing. We were first in Europe and then later, we rolled out in other parts of the world, so it's lagging a little bit behind to see those domestic volumes.
Operator: Our next question comes from the line of Joshua Masser of Morgan Stanley.
Joshua Masser: 3 from me as well, please. The first one is just on penetration. And I know this is something that you don't talk about much, but I was wondering if you could give us a feel for how you think it's changed over time or since the IPO, is merchant -- is your merchant penetration going up? Or do the new wins keep this broadly flat or even lower? So that's the first one. Second one is just on the issuing product. Just keen to get a bit more color as to which of those different sectors you see the biggest opportunity? And how -- any traction that you're seeing so far on the issuing products? And then finally, just on your capital allocation. Clearly, the net cash on the balance sheet is building up quite a lot. I mean, how are you thinking about capital allocation from here?
Pieter van der Does: All right. So if you look at, is our wallet share increasing? The difficulty in the question is we are constantly going live with new merchants and constantly getting more share of wallet offer that merchant base. So yes, 80% or more than 80% of our growth is from existing merchants, but you have to see that as a continuum. We're also constantly boarding new merchants. So that is not an ending process where you say, we have now such a large part of the share of wallet that it can't increase anymore. Then on issuing. Where is it really interesting? It's really interesting for platforms when they want to sign up new sellers or that could be hotels, where it's easy to settle to them even in remote areas where there's maybe less infrastructure or if you want -- and if you want to do it in a very efficient way. Think about virtual cards, which can be used by a hotel to get the cash for a booking, which has been booked through the platform. Do you want to add something to that and do the capital allocation?
Ingo Uytdehaage: Yes, of course. Thanks, Pieter. I think if you look at issuing, I think our folks have always been on helping merchants. And this is also the case for issuing. So it's a business-to-business product. And it's helping them to give cards to their customers. That's the key focus area. And online travel agencies or marketplaces or platforms are the most logical use cases in this area. And we see that based on the functionality that we can provide like a global platform for issuing, that's something that is not existing. And that's also the type play that we want to focus on. Then on capital allocation, of course, we're still very proud to have a business without any debt. Everything has grown organically. And of course, our cash balance is increasing, but it helps us. Speed in organic growth is very important. So if you look at the current discussions that we're having with large customers, for instance, our financial position or stability is never a discussion. The same for regulators. We're constantly in discussion with many regulators around the world. And if you can provide them with a very stable balance sheet, it raises no questions with them. And of course, in the speed of rollout, that's enormous important to us. So this is the reason why we want to continue with current capital allocation. And of course, in the future, when this changes, when we add additional cash, it's no longer needed, we will revisit the strategy. But for now, we think it's a real enabler for the speed of our business.
Operator: Our next question comes from the line of Hannes Leitner of UBS.
Hannes Leitner: I've got also a couple of questions. The first one on the headcount increase. You over proportionately increase the headcount in H2, should we expect this as a run rate going forward? And then also, is this any way it has to a specific vertical? That's the first question. The second question is regarding the full stack. You mentioned that you raised now to 73% in H2. Can you give us an indication where you think the right equilibrium should be? Or will you expect to close the 100% over the long term?
Ingo Uytdehaage: Thanks, Hannes. So if you think about headcount, we are very proud that we found a way to onboard more new team members to the company. We want to continue with this. We see a huge opportunity in the market. And if you look at how it's distributed, it's very much distributed how we've built the company. So around 40%, engineering; around 40%, commercial; and 20%, staff. We will continue with this. And it's finding that right equilibrium between the speed of hiring and keeping the culture. We're very much culture-driven company. We want to make sure that we keep this. So for instance, all the final interviews are still done by the management board of 6, and we want to continue this in the future. So we think that we can continue with this growth. We think it's very important if we want to get to long-term sustained revenue growth. And yes, of course, we hope to continue with that. On the full stack percentage, we're currently at 73%. Of course, we don't see it as a ceding. The percentage that is not full stack is mostly related to airline volume. Of course, if you look at total airline volume in the payments market, it's way smaller than -- around 27%. So in the future, we want to further increase this full stack percentage. At the same time, we see a lot of growth with airlines. So it's not a goal in itself. We want to make sure that we help our merchants in the best way and to those airlines who are welcome on our platform.
Hannes Leitner: Okay. And just a quick follow-up on the issuing side. Do you expect to also charge the customers here for a transactional volume? Or is this a flat fee to use the product?
Ingo Uytdehaage: From a fee perspective, we expect to charge in a very similar way as with the acquiring product, so on a per transaction basis.
Operator: Our next question comes from the line of Adithya Metuku of Bank of America.
Adithya Metuku: Yes. I have four questions. Firstly, just looking at the eBay ramp. I just wondered if you could provide us with some clarity around what's happening here. I understand you're already live in Germany and the U.S. So presumably, you've had a chance to prove your capabilities to eBay. And should I assume that the ramp will be relatively quick come to second half of 2020? Or should I be a bit more conservative? Any color here would be much appreciated. Secondly, just on the Subway, when I noticed into one Subway in the U.S. and Canada, that one of your European peers, one subway in Europe, and obviously, given the advantages that the single platform provides a new global reach, I was a bit surprised to see that happen. So any color around why that happened? And how you see that progressing in terms of the contract over a global basis, would be very helpful. And thirdly, just on the issuing business again. Any color you can provide around, how we should think about the opportunity? We've tried to do some analysis, but any color from you would be very helpful. And finally, just a question for Ingo on the tax rate. Clearly, the Dutch tax rates are coming down. So how should we think about that over the next 2, 3 years?
Ingo Uytdehaage: Okay. So if you look at eBay, we're very happy to be live with them in Germany and the U.S. Of course, there's still with PayPal for main volume, that's contracted until summer of this year. For the third rollout, it's really up to eBay. Of course, we do whatever we can to get as much volume as possible.  Yes, and based on PayPal, I think, also what is -- what they discussed there and, of course, they're happy with the rollout of their own payments stack, and we're very proud to be part of it.
Pieter van der Does: On Subway, like I said, we're very happy to have them as a customer. The contract which we signed is U.S. and Canada. We're very used to having merchants which have multiple suppliers. And as you see, 80% of our growth is from existing merchants. So we have a good track record there. But we're very used to having to prove ourselves with merchants so we're fine with the current situation.
Ingo Uytdehaage: On the issuing. I think the opportunity is really big. But of course, we need to prove ourselves. We're still in a phase where we're working with a couple of customers to further improve the product. Based on the initial feedback, it looks very, very promising. But of course, it's still very early stage. And like always, with a new product, it takes time to build out to something significant. So that's where we are with issuing. On the tax side, indeed tax rates in the Netherlands are going down. There is also a reverse trend, which is the impact of the innovation bag -- a box, that we have in the Netherlands. Given the size of the current AR, it's not fully scaling with the amount of profits that we have, that has some sort of reverse impact on the ETR. So longer term, we think that current ETR is sort of -- what we sort of expect going forward. But of course, with all the global tax changes, this is something that we track closely, and we always try to pay taxes locally. So this can also change again over time.
Operator: Our next question comes from the line of Mohammed Moawalla of Goldman Sachs.
Mohammed Moawalla: I had two questions. One on the hiring and the additional investments you're making and looking to make. Can you perhaps break it down in terms of where they're going? I know you sort of gave us the commercial engineering and stuff, but is it mostly around bulking up the enterprise sales force? Or are you looking to build a parallel and scale up the mid-market? And then maybe also by geographies and kind of where you see those incremental opportunities. And should we then see a sort of a shift, perhaps, in the mix between the kind of 80% existing versus new? And then my second question is just in terms of sort of broader pipeline opportunities that you see. You obviously added so eBay, Alibaba, kind of big customers that potentially ramp to. But what is the pipeline looking like? Which are the -- other than quick-service restaurants, which are the verticals where you see the kind of biggest opportunities to drive growth? And is it mostly omni-commerce or still in the more traditional online space?
Ingo Uytdehaage: Great. Thanks for the questions. I think if you look at the hiring and how we grow the team. We see -- if you look at the offices around the world, I think there's a graph in the shareholder letter, which explains how we grow the offices at the moment. Most of the offices that are relatively smaller, are fully sales offices or commercial offices. So if you see people adding there to the team, these are commercial roles. In some hubs, we also have a more broader engineering staff. And I think it's fair to say that the general distribution that we see, that 40% engineering, 40% commercial, 20% staff, is still applicable to this. For the commercial roles, we're also heavily investing in mid-market. So it's about enterprise sales people that we hire, it's mid-market sales people that we hire, it's account management for enterprise and it's customer success managers for the mid-market. So it's in the full spectrum. And it's also how we see the growth at the moment. The growth of the company, so the growth in net revenues is over the full merchant base. And that's also one of the things that we're very proud of. And if you look at the pipeline, I think that the pipeline that we have is basically over the full width of what is possible. I think that's why we're so happy with the current development of the business. And of course, an organic growth strategy, where we pitch to merchants directly. And you see that the -- also what Pieter already said, if we have 1 or 2 customers in a certain industry, this is also in a very logical moment to also talk to their competitors. And this helps us a lot in onboarding new merchants onto our platform. So the pipeline is very diverse. There are many opportunities for us. And it's just a matter of having this long-term view to get them onto the platform because some sales cycles take pretty long, but eventually, if merchants are looking for added value services in payments, they like to work with us. I think that's the good news.
Operator: Our next question comes from the line of James Goodman of Barclays.
James Goodman: Just firstly, as the unified commerce volume really takes off, could you remind us here just how you contrast the growth take, the net take and an incremental EBITDA contribution versus the core part of the business? I think it's fairly limited, but that would be helpful. Secondly, on the working capital, the operational working capital of the business. I think there was a large inflow in the trade payables. I'm wondering if you could explain what that is, and whether that reverses next year? And then finally, around the contract liability associated with one of the large customers that we've been discussing. It's not amortized on the balance sheet at all, but I think you're getting some revenues there. Am I right in understanding this will be netted against revenues? And when might that start? And just on the milestones around the warrants relating to that, can you tell if we've reached any milestone that when we might be looking at testing against the milestones set out at IPO?
Ingo Uytdehaage: Okay. Thanks. So I think if you look at point-of-sale, we mostly look just at volumes. So in the end, what we try to share in the shareholder letter, it's like the number of transactions in the order volume that is originated on the point-of-sale terminal. But from a business perspective, it's all about unified commerce. So how do we solve the convergence between online and off-line for a lot of retailers and QSRs? And in discussions with them, also from a pricing perspective, they often see it very similar, whether -- it shouldn't really matter whether there is a transaction originating from a terminal or online. It's -- like I said, it's converging. So there is no real difference. Also on our platform, there is no difference. So longer term, for us, the strategy is to grow volume with our merchants. The marginal cost of a transaction is very low. And that means that each additional transaction onto the platform is accretive to our margin. And that's what we're trying to achieve. That's the strategy. Now on working capital, there is no fundamental change in trends in this year. If you look at the balance sheet per end of December, this is a timing issue. So this will disappear over time. And for the contract assets, indeed, it's right. We will net this with the volumes that we will get in the future. So it will be netted with the revenues. And on the warrant, your last question, we haven't hit any milestones. That was also not to be expected given the fact that the main contract has not expired with PayPal.
Operator: Our next question comes from the line of Ron Heijdenrijk of ABN AMRO.
Ron Heijdenrijk: A few questions from my side. Firstly, you mentioned Black Friday and Singles Day. Would you happen to have the TPV on those -- both those days for 2019 and 2018 for us, please? Then secondly, coming back to the growth in the FTEs, which was indeed higher than we had expected. At the half year stage, you were saying that you were managing for maximum growth. And at that time, you grew 29% than your FTEs. Now you're at 35%. And you say you're going to continue with this. Is that a blended number between the 2, so let's say, 32%, 33-ish percent, i.e., 1/3 per year in FTE growth? Or is that more like towards the top end of that range? If you could give some color on that, that would be great. Then on other expenses that went up quite dramatically as well due to your marketing efforts. Is that -- a lot of that online marketing, i.e., Google clicks and stuff like that, where you get to build afterwards? Or how do you spend those marketing dollars? And when do you think that, that marketing spend will be normalized? And then maybe finally, sales cycles are indeed long as you say. And I was wondering, now with the marketing and the brand recognition after the IPO, do you find that your sales cycles are shortening because of that? That's it for now.
Pieter van der Does: All right. Thanks for that. Yes, we give our volume over a year and not on specific days. So for Black Friday and Singles Day, we don't provide the process volume for those days. The headcount growth. Yes, you're right. We're growing quicker because we became better at absorbing those people. We always said we want to grow at maximum speed because the opportunity is huge. And this is -- we are in a good spot, where we see that competition is an integration processes. And we are -- so we want to grasp the opportunity. So we will continue to grow at the pace at which we can absorb people. And looking back at this number, we're very happy that we can successfully do this and keep the culture on the -- at the first place. On the third thing, you see that our marketing spend went up, that -- a large part of that is events and then events on -- that's in the corporate segment, also some mid-market events and the online lead generation is specifically target to the mid-market. And the fourth question, sales cycles. The first deals in a certain industry are always most difficult. So then ongoing ones can be a little bit quicker. But in general, this industry in the corporate segment has long sales cycles. And in the mid-market, sales cycles are significantly shorter.
Ron Heijdenrijk: Maybe if I to -- could add 1 more question. And I know that you're not like -- that you don't like to talk about single merchant or single clients. But on the Alibaba contract, which you announced in August, can you give us some color on when this went live? And also on how much throughput -- or how much of the total share that you could get from Alibaba that you are capturing?
Pieter van der Does: Yes. No, you said it in your own intro, we don't do them specific. And you have all the right to ask it, but we don't talk about specific merchants and the contract.
Operator: Our next question comes from the line of Josh Levin of Autonomous.
Josh Levin: I have 3 questions. It is interesting that you're not feeling much of an impact from COVID-19, given that MasterCard and PayPal have pointed to an impact, and you do have a fair amount of airline exposure. So I guess, are you surprised? And could you speculate about why you may not be feeling the impact from COVID-19 so far? Second question is, how much TPV is cross-border? And the third question is on secure customer authentication. How ready do you think your merchants are to deal with that?
Pieter van der Does: All right. Let me start on why we don't see COVID-19 impact in the numbers? Because, of course, also for us operationally, it does have impact in how we limit travel and things like that. But if we look at the numbers, why we would see less impact then say Visa -- our MasterCard is? We do interchange pass-through. So if there would be less international transactions, less intercontinental transactions and more domestic transactions that would, from our business model, not make any difference, whereas typically in the card schemes, you see that cross-border traffic generates a higher cost, and that money goes through card schemes. So therefore, you see more of an impact there then -- and because we have a pass-through pricing. For us, that's less impact. On the airlines is for us a gateway model, hence we are not in the -- not always, but for in the vast majority for us, it's gateway serves only. So that's not in our -- we don't do the acquiring there. So that means that we are, in that sense, we -- that for us is limited at this moment. So we cannot see it on an aggregated number.
Ingo Uytdehaage: And your question on volumes for -- which are, cross-border, we do not disclose this. I think, typically, what we try to accomplish is local acquiring contracts. That's also why we built a single platform that works on a global scale. That's also why we have all those local acquiring licenses. Because for merchants that makes their set up more efficient, also to Pieter's point, if you have local acquiring, you work with lower cost, and that's what we want to get or what we want to achieve for our merchants. And then on -- you had a question on service levels. Can you please repeat that one? I'm not sure if I got it there, Josh.
Josh Levin: The question was about Secure Customer Authentication, the SCA. And how ready do you think merchants are to deal with that?
Ingo Uytdehaage: Oh, Sorry. Yes, so what we want to do is we -- in secure authentication, is that we are always on the forefront to help our merchants. I think the -- as a result PSD2, we introduced the same version of the 3D Secure 2.0. We were the first to market there. And that leads then to additional traction with our merchants. So we always try to be on the forefront here. Of course, it's always the question, what is next? And we like to work with the regulatory bodies also to see what's being developed and that we can develop it as well to be ready for it. Does that answer your question?
Josh Levin: It does.
Operator: Our next question comes from the line of James Friedman of Susquehanna Group.
James Friedman: I'll just ask my 3 upfront as well. I'll make them short. But if you could -- with regard to the 80% of the growth coming from the installed base, can you remind us if you happen to have it, what it was during previous disclosures, say, at the IPO? That's the first one. And maybe that hasn't changed. I just don't remember. The second one is could you give us your thoughts on the U.S. bank license local merchant acquiring, apropos the previous question, how that creates some competitive advantages to you? And then third, with the disclosure in letter and you talked about this earlier about opening up a Bombay office. I was just wondering, is that -- should we think of that as commercial, like front office? Is that more technological? Is it a typical mix? I'm just trying to understand your opportunity in India.
Pieter van der Does: All right. Thank you for those questions. The -- typically, how Adyen works is indeed that we onboard merchants and that we get more and more of their volume, and that 80% has been always in our core. So that's an unchanged number. Your second question about the U.S. banking license. So yes, we have applied for that. We're in the process with the Fed and OCC. The reason why we do this, we are constantly looking in each region what's the best way to be regulated. And it's often that you have multiple choices under which you could operate, but we feel that this is a more efficient setup, like in Europe, where we applied for banking license. The -- on India, we are expanding. And usually, those offices are pure commercial offices. So it's not done to develop specifically an engineering hub there. Although we see that in many of our offices, we do have some engineers, but the strategy that the core of engineering is at our headquarters in Amsterdam, remains.
Operator: Our next question comes from the line of Nooshin Nejati of Deutsche Bank.
Nooshin Nejati: I just have 1 follow-up on your issuing business. So to my understanding, basically your merchants going to use your APIs to issue these cards to their customers, and then they would basically get the money, whether it's virtual or prepaid or gift cards and so on. So I was wondering who is taking this issuing fee, basically? Is this Adyen or is this the merchant? So -- because if it's Adyen, then it has a lot of upside opportunities for you guys. And then also, I wanted to know, like, when do you expect this to become incremental?
Ingo Uytdehaage: Yes. Thanks for the question. So issuing, the question is, who's getting the interchange? That's based on the commercial arrangements that we have with our merchants. Of course, we want to help our merchants in the best way. And we will discuss with them what is our logical revenue share based on their business model and expectations. This is a long-term play. So if you look at this growth of the company and the additional volume that we get, it won't be incremental very quickly. It's a long-term investment. But of course, we would only do this if the potential will be big. We believe that it could be a really -- could have a very big impact on our business, but it's going to take time to get there.
Nooshin Nejati: Okay. So basically, it's not set yet, who would get this fee.
Ingo Uytdehaage: It's basically a rev share. So we believe in a model where we are always transparent about our fees and also how much the issuing fee would be. And discuss with the merchant what is a reasonable split between ourselves and a merchant, like we have always done in our pricing with merchants.
Operator: Our next question comes from the line of Sanjay Sakhrani of KBW.
Sanjay Sakhrani: I have a couple of follow-ups to previous questions and 2 others. First, on the merchant share question. There's obviously been a big spike in new merchant signings over the last couple of years. When we think about onboardings this year in 2020 versus 2019, could you compare and contrast sort of the size of those onboarding backlogs. Second, given the higher -- the hiring plans remain elevated in 2020, I'm just -- Ingo, maybe you could help us think about how we should think about EBITDA margin? Should we expect them to be flattish in 2020 as a result? And then the 2 other questions are: one, we've seen some slowdown in APAC growth over the last year. I'm just wondering if that was expected. And maybe you could just help us think about the go-forward view. And then, Pieter, I just was wondering if there's any comments on whether your -- sort of your plans on acquisitions going forward, have changed anyway? Because I know you have been pretty opposed to doing any.
Pieter van der Does: All right. Thanks for those questions. If you look, is there a backlog in onboarding new merchants? No. And the spike? I don't know. You see that the company has -- it becomes more established with have access to larger contracts. But I see it more as a continuum on our path to where we want to go in the next years, and I don't see merchant short-term effects in there. So also scaling up is not related to working away backlog, scaling up is just because we can, and we have a huge opportunity to grasp. If you talk about APAC and how the number is reflected versus the success of that office. Many of the large deals, which they closed, indeed have a billing address in another region. So we are very pleased with what APAC accomplished. But I agree with you that the numbers, because we do them on billing address, don't fully reflect that. Regarding M&A, we don't believe that putting payment companies together creates a lot of synergy. So it's not that we would be opposed to any type of acquisition. But I don't believe in acquisitions between payment companies. So we feel that working off a single platform in all -- overall channels, gives us on many aspects, a huge advantage. So we won't veer away from that. So no M&A plans. And then Ingo, maybe you could do the EBITDA margin question.
Ingo Uytdehaage: Yes. So on the EBITDA, we want to continue to invest in the team. We have given this long-term guidance to have at least 55% EBITDA margin. We won't give specific guidance for 2020. We'll continue to fashion the team. And I think if you look at the 2019 levels, that there is no reason why there will be a -- immediately drop in margins. I think the main message that we want to give is that we see a lot of opportunity for the long-term growth of the business, and we want to make sure that we keep investing because that's the best for the company at the moment.
Operator: Our next question comes from the line of Josh Beck of KBCM.
Josh Beck: I had a -- just a couple of product questions. With the issuing products that you've launched, do you have any ambitions to really go to customers that would not be merchants? In other words, it wouldn't necessarily be an add-on to a merchant. It would be a net new relationship for you and you lead with the issuing product. So this will probably be more of maybe the neobank community and some of those. So just would like to hear the longer-term ambitions around issuing. And then with PayByLink, it certainly seems like it has applicability to smaller customers, but also larger customers who are interested in this concept of contextual commerce. So is that a product that applies to your entire base? And is something that could be material looking out towards the long term?
Pieter van der Does: All right. Thank you for those questions. Look, if you see where could card issuing take us, we are a B2B company, so this is a product for businesses, and it's logical to start with businesses, which are in our focus area, which is -- which are the OTEs, which are the marketplaces. So it's supportive of our strategy there. And where that long term, if they would expanded to other parts of the business that could be for us doing something, which is not B2B is at this stage, less likely. So it would be -- it will remain a B2B product for the foreseeable future. PayByLink, yes, it applies to the whole base. Like you said, it is an easy way for small merchants to connect with -- without committing too much resource. But indeed, it's also applicable for other merchants in our base, so it is applicable for our full merchandise.
Operator: Our next question comes from the line of Joseph Foresi of Cantor Fitzgerald.
Joseph Foresi: I'll ask my 3 upfront as well. Any changes to your strategy regarding going after smaller merchants? We're obviously seeing your ads here in the U.S., and I'm wondering if you could provide any color around there and the penetration rates. The second question, any updates on authorization rates and your ability to improve those? And then finally, I know you gave color on the margins at about 55% you want to invest in the business. Do you plan on updating your midterm targets at the Analyst Day? And do you think long term, I guess, I should say, very long term, you could see an improvement on the margin profile?
Ingo Uytdehaage: Okay. Thanks for the questions. I think the -- our strategy for going after small businesses is more through our platform business. So we built Adyen for platforms exactly to do this. Because those platforms are way better at handling our questions from smaller businesses than we are. So that's the strategy. We don't have a idea to go after the small merchants ourselves. Then on the authorization rates, it's a key performance area for us, if we talk to our merchants. It's a key topic why -- where account managers spend time on with our merchant. For us, it's very important to, on the long term, keep outperforming on these rates. And we get very positive feedback on our performance there. And then on the long term margins, I think there is a lot of scale in our business, and we can absolutely further benefit from the economies of scale. At the same time, there is a huge growth opportunity. And finding that right balance is one of the key areas for us as management to focus on. At the moment, we see most of the opportunities in growing the company on the long run. So that means growing it from a revenue perspective. Of course, if we would like to optimize for EBITDA, we could. Because if you just look at, for instance, how we increased the marketing spend over the second half of the year, if we would manage on EBITDA, we would never do that. If we believe that we have a very long-term opportunity here, and we want to [ pick it out]. Does it answer your question?
Joseph Foresi: It does. Just one last one, if you could give it. Any data points on how much better your authorization rates are versus the competitions you care to share. And if not, I understand. I'm just trying to anchor it with the data point.
Ingo Uytdehaage: Yes, sure. It's -- to be honest, it's very hard to say what the difference is in authorization rate because authorization rate so much depends on the situation that you're in, the industry of the merchant, the country that you're in, the type of consumers that you attract. So for us, it's having this conversation for the merchant -- with the merchant is very important and then using our technology to basically get to the highest levels. That's exactly the key of our focus. That's hard to get that into a single number.
Operator: This was the last question. I would now like to hand over to Pieter for closing remarks.
Pieter van der Does: Okay. Thank you all for participating, and please reach out to our team if you have any further questions.
Operator: Ladies and gentlemen, this concludes the Adyen second half 2019 results call. You may now disconnect your lines. Have a nice day.